Operator: Welcome to the BioMarin Third Quarter 2022 Financial Results Conference Call. Hosting the conference call today from BioMarin is Traci McCarty, Group Vice President of Investor Relations. Please go ahead, Traci.
Traci McCarty: Thank you, Ross, and thank you all for joining us today. To remind you, this nonconfidential presentation contains forward-looking statements about the business prospects of BioMarin Pharmaceutical Inc. including expectations regarding BioMarin's financial performance, commercial products and potential future products in different areas of therapeutic research and development. . Results may differ materially depending on the progress of BioMarin's product programs, actions of regulatory authorities, availability of capital, future actions in the pharmaceutical market and developments by competitors. And those factors detailed in BioMarin's filings with the Securities and Exchange Commission, such as 10-Q, 10-K and 8-K reports.  On the call from BioMarin's management team today are JJ Bienaime, Chairman and Chief Executive Officer; Jeff Ajer, Executive Vice President, Chief Commercial Officer; Hank Fuchs, President Worldwide Research and Development; Greg Guyer, Executive Vice President and Chief Technical Officer; and Brian Mueller, Executive Vice President and Chief Financial Officer. I will now turn the call over to our Chairman and CEO, JJ Bienaime.
J.J. Bienaime: Thank you, Traci, and good afternoon, everyone. Thank you for joining us today. BioMarin results in the first 9 months of 2022 represent record year-to-date total revenues of more than $1.56 billion. In the third quarter, total revenues grew 24% year-over-year and increased 31%, excluding KUVAN. VOXZOGO revenues of $48 million in the third quarter and $102 million year-to-date led to today's increase in full year 2022 VOXZOGO guidance. Planning these impressive results is continued strong demand from across Europe and the United States for VOXZOGO, a significant increase in overall patients treated and notable uptake in Japan since launching there in August.  With no lower age restriction on VOXZOGO treatment in Japan, we are thrilled to share that one of the first patients treated in the third quarter was a 3-week old patient. Turning on to our second and most recently approved of product opportunity, ROCTAVIAN, gene therapy for the treatment of hemophilia A since receiving European approval in the third quarter, we are now in the final stages of negotiating outcome-based agreements for OBAs with the key payers in Germany and with ROCTAVIAN pricing in Germany, business and labeled commercial product in our warehouse and ready to ship, we expect to treat the first patient there in the fourth quarter.  And in additional EU countries beginning in the first quarter of next year. Jeff will provide an update on the European launch in a moment. Briefly on ROCTAVIAN in United States, the BLA is under review. We were very pleased to have received acceptance of the BLA from the FDA 2 weeks ago and with a PDUFA date of March 31, 2023. The FDA also recently informed us that they planned for an Advisory Committee meting. As we have said before, we have been preparing for a potential outcome for some time.  We believe it is a good opportunity to discuss the demonstrated clinical benefits and established safety profile of ROCTAVIAN from the largest label program ever conducted. As we near the end of 2022, I'm all struck by what has been accomplished in the last 12 months by BioMarin employees.  On the top of list is is our transition to profitability and the approval of our 2 largest product opportunities. While some of the approvals late last year enabled the most successful quarter launch in the history of the company and underscore our capabilities across research, development, regulatory, commercial and manufacturing.  Everything with the same capabilities, we intend to extract maximum value from ROCTAVIAN beginning with our European launch quarter. I want to thank my colleagues for their contributions to achieving those significant milestones, which have solidified our foundation for growth. We will build on this momentum for the remainder of 2022 and beyond, we complete our transition to an earnings growth story, a unique accomplishment in our industry. For sure, thank you for your continued support. And I will now turn the call over to Jeff to discuss the commercial business update. Jeff?
Jeffrey Ajer: Thank you, JJ. I am very pleased with our performance in the third quarter, resulting in $505 million in total revenues, which represents 24% growth year-over-year, including KUVAN and 31% growth excluding KUVAN. Year-to-date and in the third quarter, all brands marketed by BioMarin with the exception of KUVAN and PALYNZIQ demonstrated double-digit revenue growth year-over-year.  Starting with VOXZOGO, we are pleased to share that as of September 30, an estimated 713 children were being treated across 29 active markets, including a number of children in Japan. Japan is unique in having high awareness and an established treatment network for achondroplasia based on the existing use of growth hormone, and we expect it to be a material contributor of future growth.  As a result of robust VOXZOGO uptake across all commercial markets, we are increasing full year guidance to between $140 million to $170 million for the full year. We are thrilled with the reception and interest from family-seeking VOXZOGO treatment. With 12 months of experience launching the world's only approved genetically targeted treatment option for achondroplasia, we are on our way to recording the most successful launch -- commercial launch in BioMarin's history.  The successful global launch of VOXZOGO is an excellent primer for the next product launch of 2022, and Europe. As part of the initial launch, we are in the final stages of negotiating outcomes-based agreements with payers in Germany. These agreements allow us to capture full value for ROCTAVIAN and will allow patients to be treated while we go through the full price and reimbursement process.  We are targeting payers that we estimate cover 85% of hemophilia A patients in Germany. These are multiyear agreements that cover payer risk of patients potentially returning to prophylaxis through direct BioMarin financial commitment in return for substantial and full upfront payment.  We expect to treat our first German patients in Q4 and look forward to sharing progress at our next update. On the ROCTAVIAN EU approval column August 24, we committed to update you on the European list price. On September 15, the first European price was listed in Germany in the amount of EUR 60,781 per vial which, for an average patient consuming 32 vials would equate to EUR 1.94 million.  It is important to note that our net revenues will include the mandatory rebate currently 7% to the German health care system, some additional negotiated discounts and a reserve to estimate our obligations against the outcomes-based agreements resulting in expected net revenue per patient less than EUR 1.5 million, net of all discounts and reserves.  Relative to our experience with VOXZOGO and previous brands, we believe that this level of net pricing in Germany will be closer to the final net price to be negotiated with GBA for federal reimbursement because instead of using the prepricing period in Germany, we are going through robust negotiations as part of initial market access. With our first commercial ROCTAVIAN update and for 6 quarters, we look forward to providing a number of metrics to help you understand the progress of launch. These include total quarterly revenue, name a number of active markets, milestones of numbers of patients treated and other color commentary relative to the launch.  Considering that individual patients are substantial contributions to revenue to simplify our external tracking, we plan to provide updates on patient uptake by numeric milestone, which will include the first patient treated, the first 5, 10 and 25 patients treated and the increments of 25 to follow.  Turning now to the U.S. with the ROCTAVIAN BLA under review, we are preparing for potential launch based on the March 31 PDUFA date. The cost of therapy for the treatment of severe hemophilia A in the United States is high and well understood by payers. Based on this and the potential for ROCTAVIAN to provide significant savings to the health care system, we were pleased with the draft evidence report issued on September 13 by the Institute for Clinical and Economic Review, or ICER. At a presumed price of $2.5 million, the report referred to ROCTAVIAN as a dominant treatment relative to emicizumab on cost-effectiveness. ROCTAVIAN was projected to have lower costs of $4 million slightly higher quality adjusted life years and slightly lower bleeds.  This report by a neutral third party underscores our belief that cost savings to payers will be a significant contributor to ROCTAVIAN uptake and an overall opportunity in the United States. Turning briefly now to our enzyme replacement therapy brands, which collectively achieved record year-to-date results. As noted last quarter, and due to uneven ordering patterns, we do continue to expect a higher concentration of revenues in the first half of the year compared to the second half with VIMIZIM trending to the lower end of full year guidance and NAGLAZYME trending toward the higher end of full year guidance.  BRINEURA, 15% growth year-over-year and revenue of $38 million in the third quarter was driven by 20% growth in commercial patients versus 1 year ago. Moving now to PALYNZIQ. Net product revenues grew 9% to $66 million in the third quarter as compared to the third quarter of 2021, 5% revenue growth year-to-date, while positive trails our overall growth expectations and what we continue to believe PALYNZIQ can achieve in the longer term.  Looking ahead, while PALYNZIQ is expected to continue to grow from year to year in the future, resuming substantial growth rates next year will likely be constrained until our new strategies can momentum. This year, while we have not updated full year PALYNZIQ revenue guidance, we do expect full year revenue to be at the lower end of the guidance range.  Continuing with the PKU franchise, KUVAN contributed $57 million in revenue in the third quarter of 2022, relatively flat compared to the second quarter of this year. As we have stated previously, KUVAN nears the end of its life cycle, some market exclusivity in the U.S. in October 2020, we are gratified to be able to retain meaningful market share and resulting revenues.  Going forward, we anticipate generic competition to enter the European KUVAN market in mid-2023 somewhat sooner than previously expected and with the assumption that this will further reduce our market share and revenues.  In conclusion, we expect to end the year strong and anticipate increased demand for all of our commercial brands with the exception of KUVAN. We believe that robust prescription demand for VOXZOGO represents a foundation for continued growth, including in new markets for the remainder of the year. The team in Europe is very excited to be launching the world's first gene therapy treatment for hemophilia A with ROCTAVIAN and we look forward to updating you on launch progress at our next quarterly update. So thank you for your attention. And I will now turn the call over to Hank to provide any update. Hank?
Henry Fuchs: Thanks, Jeff, and thank you all for joining us today. With ROCTAVIAN approved in Europe and the successful BLA resubmission, we look forward with great anticipation to patients in Europe experiencing the life following -- the life-altering treatments that follow with the world's first gene therapy product for the treatment severe hemophilia A.  The journey to ROCTAVIAN European approval has been both unpredictable and gratifying, and I want to thank my team, teammates and colleagues for their tenacious pursuit of the ROCTAVIAN advancement in the face of many headwinds throughout the process. We now turn our focus to the U.S. review and are energized and inspired by what has been achieved in Europe.  As JJ mentioned, FDA recently informed us of their plans to hold an advisory community meeting to discuss ROCTAVIAN and although no date has been set for this meeting, this is something that we've been preparing for over the last few months. We believe the ADCOM will provide a good forum to review the demonstrated bleeding control and established safety profile of ROCTAVIAN.  We're also encouraged that FDA is so far approved 11 original BLAs for cell and gene therapies, 5 of which had a comps and were approved. On a related note, in an effort to manage expectations throughout the review process, we plan to only update those milestones that are material to the ROCTAVIAN journey. For example, we do plan to share the data of the advisory committee when available.  Thank you for your understanding as we focus our entity on quality communications with the agency, advisory duty preparation and all other elements of the BLA review process. Turning now to the recently presenting filings of the more in-depth whole genomic analysis of the leukemia case discussed in September from a subject in our Phase III study.  As presented at the European Society of Cell and Gene Therapy Congress in Scotland, a more in-depth sequencing analysis from the patient sample did not detect any integration of ROCTAVIAN vector DNA in the subjects leukemia cells. Furthermore, we identified a collection of mutations across the patient's genome that are often observed in this form of leukemia.  This was substantially the outcome we expected based on prior signings that have been already submitted to the FDA. Now that we've completed our genomic studies in this case, we're filing our correspondence to global authorities again in the coming days. Moving to VOXZOGO during the third quarter, we met with both the FDA and the EMA to collaborate on the path forward admission to supplemental applications for VOXZOGO to expand the age range for which VOXZOGO has indicated. Based on the feedback that we've received, we're interested in both applications by year-end.  Turning to new VOXZOGO indications beyond achondroplasia in 2023, we look forward to reviewing the 52-week data set for Dr. Dover's investigator-sponsored Phase II study in other conditions. These data will be the combination of the exciting preliminary data presented at the end of meeting this past May and will form the basis of potential new indications elected and Phase III planning for VOXZOGO and other central conditions.  Finally, turning to the earlier stage pipeline. We look forward to activating our IND with BMN 351 for the treatment of Duchenne muscular dystrophy in the first quarter. With BMN 255 addresses a subset of chronic renal disease, we have moved forward with the multiple ascending dose portion of our Phase I/II study with BMN 331 hereditary idea in those patients in the base on to HARMONY study to evaluate this investigational AAV5 gene -- mediated gene therapy for people with hereditary angioedema.  We have recently progressed through escalation of the 6e+13 vector per kilo dose group where our nonclinical studies progressed project therapeutically relevant expression of. Our preclinical studies of BMN 349 continue to build our enthusiasm for its potential to dramatically improve liver health and people living with than antitrypsin deficiency. . We expect to file an IND with BMN 349 in the second half of '23. BMN 293 formerly referred to as Dyna-001, is on track to our very next gene therapy clinical candidate. In this case, for the treatment of hypertonic cardiomyopathy caused by mutations in the myosin binding protein T3. Our preclinical studies continue to generate exciting evidence for the potential of BMN 293 to improve cardiac hypertrophy and diastolic dysfunction and patients living with hypertrophic cardiomyopathy.  We also expect to file the IND for BMN 293 in the second half of 2023. It's been quite a busy time in the R&D organization that's inspiring to reflect on all that's been accomplished. And again, I want to thank my team for their unwavering perseverance moving our important medicines through preclinical, clinical and regulatory review on behalf of patients we serve.  We look forward to keeping you appraised of our progress with ROCTAVIAN in the U.S. and look forward to potential approval in 2023. Thank you for your support. And I will now turn the call over to Brian to update financial results for the quarter. Brian?
Brian Mueller: Thank you, Hank. Please refer to today's press release summarizing our financial results for full details on the third quarter of 2022. Since JJ and Jeff spoke to our revenue performance for the quarter and future revenue outlook. I will primarily focus on the remainder of our P&L and other key financial updates this quarter. As usual, all results will be available in our upcoming Form 10-Q, which we are on track to file over the next couple of days. . Our 2022 key financial objectives of delivering double-digit annual revenue growth, together while achieving our operational goals while controlling expenses is resulting in solid GAAP profitability through Q3 and and significant growth in non-GAAP engines consistent with our plan for the year. One more comment on total BioMarin revenue is that while most of our commercial brands have been tracking within our expectations this year, the strength of the global VOXZOGO launch, driving our increased practical revenue estimates over the course of 2022 has compensated for the impact of foreign currency exchange rates as well as the restricted growth of PALYNZIQ.  These factors have balanced each other, and we're pleased to maintain our total 2022 revenue guidance of $2.06 billion to $2.16 billion. On the impact of foreign currency exchange rates, while we have a robust hedging program that has offered material protection during 2022, the strengthening U.S. dollar impacted our year-to-date revenue growth by approximately 3%. On a constant currency basis, Q3 year-to-date revenue growth was 15%.  Lastly, on foreign currency, our disciplined hedging program has a small amount of hedge contracts at favorable exchange rates in place for 2023. However, our non-U.S. dollar-denominated revenue base remains largely exposed to the current environment. While we expect solid patient growth in both the base business and our newly launched product next year. We also expect that the current foreign currency exchange rates will continue to be a headwind against 2023 revenue growth.  With respect to operating expenses for the third quarter of 2022, R&D expense came in lower than we expected, mostly due to the timing of certain expenses that moved to the fourth quarter, and SG&A expense fell in line with our expectations. R&D expenses for the third quarter were $158 million, exactly flat with the third quarter of 2021, and SG&A expenses for the third quarter of 2022 were $217 million as compared to $183 million in the same period last year. The largest component of the increase in SG&A expense are the global VOXZOGO and European ROCTAVIAN launches some balance sheet, foreign currency remeasurement as well as expenses related to our recently announced organizational changes.  While we expect those organizational changes to bring significant operational and financial benefits to the future, we estimate that one-time charges associated with the changes to be approximately $20 million to $25 million, of which $5 million was recorded in the third quarter.  Moving to bottom line results for the third quarter and 9 months of 2022. While we are on track to report GAAP net income for the full year 2022, the company recognized a small loss for the third quarter. The Q3 GAAP net loss was mostly due to the timing of revenue and expenses on a quarterly basis over 2022, plus the onetime costs associated with the corporate reorganization just noted.  Despite some unplanned expenses and the negative impact of foreign currency exchange on the full year, it is noteworthy that we're maintaining our 2022 GAAP net income guidance of $105 million to $145 million. With respect to non-GAAP income, Q3 2022 non-GAAP income of $83 million was more than doubled with $34 million of non-GAAP income in the third quarter of 2021. Likewise, non-GAAP income guidance for the full year 2022 remains unchanged at $350 million to $390 million.  Turning to total cash and investments. We ended the third quarter of 2022 with approximately $1.65 billion which is an increase of over $100 million compared to both year-end 2021 and the second quarter of 2022. While the company continues to experience quarterly timing difference in several cash flow categories, mainly working capital, BioMarin generated $169 million of operating cash during the first 9 months 2022, which is a positive indicator of the progression and maturity of the business in this transformative year.  In closing, with just 2 -- just over 2 months to go in 2022, we look forward to closing out a potentially record-breaking revenue year and solid footing for sustainable and growing profitability into the future. We look forward to providing further insights into our 2023 expectations early next year, which we expect will include substantial revenue growth driven by VOXZOGO and ROCTAVIAN despite the headwinds of foreign currency and continued KUVAN erosion from generic competition.  Together with the improvements to our operating model through the reorganization, we expect continued leverage in our business that can support both our growing R&D pipeline and strong top and bottom line financial performance. Thank you for your attention, and we'll now open up the call to your questions. Operator?
Operator: [Operator Instructions]. And our first question comes from Phil Nadeau from Cowen & Company.
Philip Nadeau: Congrats on the progress. Hank, one for you. You mentioned that you've been preparing for the FDA adcom for ROCTAVIAN for quite some time. We're curious to know what issues you anticipate will be discussed at the meeting kind of what questions are you preparing to field? And has the FDA in any way, indicated what discussion topics they're likely to bring up?
Henry Fuchs: Thanks for the question, Phil. It's really too early to anticipate any of that stuff. They just got a huge file for review and they're just underway. And in any case, as the days go by, and I get asked this question, I'm going to have to defer answering it because so much of the questions or about things to speculate about rather than to know but we'll tell you what there is to know about when we know about it, as I said in my prepared remarks.
Philip Nadeau: Any -- could you give us any sense what you're preparing for now what the key?
Henry Fuchs: Yes. I mean, from our side, it's -- we have an enormous amount of efficacy data, safety data, well-being data, information about optical concomitant steroid strategy, information about optimized monitoring of patients, relevant safety information for package insert post-approval plans.  So we have. And the reason I said that we have months of PREP already underway is because we have so much stuff that it's important that in addition to preparing the documentation of the BLA that we're also preparing for a presentation of the essential story of the BLA.  And AdCom, as you know, is a great opportunity to go through the accumulative information in a very fulsome way. I mean it's amazing on the 1 hand, we can summarize findings in the 2-page press release and top line things for you like -- for chart, but the reality of review and an approval process is, they're looking at -- somebody told me that we printed the BLA with the 7 tests. So they're looking at 7 tests worth of data.
Operator: Our next question comes from Salveen Richter from Goldman Sachs.
Salveen Richter: Two for me here. Just 1 on ROCTAVIAN and the launch in Europe. Could you talk about how quickly you can get the 2 key payers, the 2 key remaining payers in Germany on board? And any guidance as we start to think about the cadence of launch starting in 4Q? And then secondly, what are your outcomes here with regard to your discussions with the FDA on moving VOXZOGO into younger patients?
Jeffrey Ajer: Salveen, I'll take the first question. So as we've described probably at length over the last 6 months or so, we have devised in consultation with German payers prior to the approval outcomes-based agreement, which basically cover payers risk of failure to respond or failure to be durable through a multiyear period.  And we've previously advised at multiyear period, we're targeting 5 to 8 years spending on the payer in Europe. So while we go through the federal process of reimbursement with GBA during the free pricing period in Germany, we've determined that it would be favorable to being able to treat patients early to negotiate outcomes-based agreements with individual payer groups in Germany that we think will look largely like the eventual federal outcomes-based agreements -- in terms of the outcomes-based terms and also likely the discounts that we negotiate.  We think we're close with 2 of the 3 largest payer groups in Germany. We don't have ink on those agreements yet, but we think that we're close. And that will facilitate patients to be tested with our co-diagnostic in Germany and to go through liver function testing to be treated. It's worth noting that we've got some really important things done in Germany. JJ noted that our price was listed on September 15. That was an important step. Our tops organization has done an amazing job. We've got commercial label approved products sitting in a warehouse ready to ship our commercial and medical teams have been doing site readiness work with the key treatment centers in Germany that we're targeting for first patients to be treated, and we're well on our way for site readiness.  At least 1 side is 100% ready to go at this point. So we're poised and ready. We've got that -- those outcomes-based agreements that need to just get signed up and we'll start moving patients in. So that's what the cadence looks like. I think you've seen some data from maybe another analyst that indications of patients that are kind of in queue with these key treatment centers. We think that's true, and we're looking forward to letting those patients get moving in Q4, get treated.
Henry Fuchs: And to the second part of your question on VOXZOGO and regulatory interactions, just a reminder of the 3 large pharmaceutical markets into VOXZOGO, the ages that we would be seeking for additional expansion or in the United States, another 2 in Europe because we already have the full range of ages approved in Japan.  And I think the key feedback that we've got and the key avenue to pursue is based on positive trends observed in growth. The safety profile that's been characterized as a much larger population at this point now. And the recognition that treatment from birth in genetic conditions is of most immediate relevance, especially something like a chondroplasia where you're talking about severe skeletal dysplasia and it's not a process that's undone. And so getting in early is really important to families as was illustrated quite nicely by JJ's comments about our first patient in Japan. So we think we have a pretty good strong package, and there's a pretty good basis for health authority acceptance of that package for review.
J.J. Bienaime: We should further fuel the growth of VOXZOGO starting likely in the second half of next year.
Operator: And our next question comes from Jessica Fye from JPMorgan.
Jessica Fye: Is it possible to give the VOXZOGO patient number at the end of 3Q broken down by U.S. and Rest of World? And within that strong revenue number you reported. How much of that VOXZOGO revenue represents demand versus maybe some initial products sent to new markets as they come online?
Jeffrey Ajer: Jessica, I'll field that question. So we actually have not committed to breaking out geographically patient numbers. We committed to launch to providing global patient numbers. Last quarter, we did that as a way of enhancing the color commentary on the U.S. launch, which at that point was 6 months underway. But the cadence of patient growth is strong across markets as we've noted.
J.J. Bienaime: Demand versus initial stocking.
Jeffrey Ajer: Yes. So good observation. We've made the same observation. And we sell into some important markets where there's distributors and where we think that there could be some forward demand that is put into stocking. So examples of markets that we've had significant orders for that fall into that category include Japan, Brazil, Russia, for example.  So we do think there is some forward buying. It's a little difficult based on how dynamic the situation is, to adequately characterize how much of those sales are forward buying and how much is responding to patient demand.  But we've estimated in the revised guidance range. We've estimated at Q4 that probably looks like continued strong growth in patient numbers and a little bit of deep pipelining of initial inventory stocking. And sorry, I can't be more precise than that.
J.J. Bienaime: But again, we have pretty strong growth in the number of patients in Q3 over Q2 and that is going to continue in Q4 and next year .
Operator: And our next question comes from Geoff Meacham from Bank of America.
Geoffrey Meacham: Just a follow-up on ROCTAVIAN. You guys have given some perspective and payer conversation in Germany, but do you expect the rest of the larger countries to look that dramatically different in terms of outcomes-based agreements? I wasn't sure if this a different payers had different metrics on risk benefit or cost benefit profile. . And the next question is just when you look at the AAV antibody profile, just talk about -- a little bit about the -- how you characterize that and maybe how you expect ongoing monitor to really happen as you roll out across Europe?
Jeffrey Ajer: Geoff, I'll take the first part and maybe turn it over to Hank for the AAV5 antibody profile question. So in terms of the outcomes-based agreements, the details of those agreements, which are not really the main point in my view, the details can vary a lot.  In terms of the terms, this is simple. So what we're covering in these agreements is a risk of failure to respond, which, by the way, in our clinical studies, we've not actually experienced a failure to respond to initial therapy. But anyway, that's a risk that we can cover.  And a return to prophylaxis is the second piece during an agreed-upon time window, and that time window is proving to be variable by country. So it's kind of simple. We're guaranteeing that the product -- patients are going to respond to ROCTAVIAN and that they won't be bleeding and returning to prophylaxis through an agreed upon window of time, which is variable.  The other piece that's variable, we think, is whether or not we get upfront payments or payments over time. And this has been kind of a dynamic situation. We've been expecting in Germany and also in the U.S., assuming approval next year that we'll be looking at upfront payment recognizing revenue upfront in some other markets, and some of this has been a little bit surprising and new and dynamic. Some other markets have fed back to us that they'd like to get in on a pay over time model. And maybe I'll just briefly ask Brian to comment on his views on revenue recognition if that occurs. .
Brian Mueller: I think if I heard it correctly your question related to other peers in Germany, maybe and not just Europe. And in other peers in Germany is just we are in a free pricing period right now, but in probably 6 to 9 months from now, there will be a final federal German price and every all the peers will be alive on that price. So is this question of the deals we're doing with some payers right now related to the initial pricing, not the final pricing will be the same for all peers in Germany we say by Q3 of next year.
Geoffrey Meacham: Okay. Sorry, if I misinterpret -- was that your question, sorry? No, that was not just Germany, but across I recognize that it's pretty early in the launch, but looking at other the.
J.J. Bienaime: Vary from country to country. I think we've said maybe in previous calls for instance, in France, they are now, although 2, 3 years ago, they seem to be interested in just upfront payment and then outcome-based agreement. They feel interested in our agreement, but they want to pay over time instead of upfront. So -- but at the end of the day, financial year, as Brian just going through, it doesn't make much of a difference.
Brian Mueller: Yes, that's right. So while hearing over the last couple of years that systems weren't set up for pay over time and they were interested in pay upfront, as we get deeper into these actual OBA negotiations and exploration, it ends up that some of the countries in Europe are just didn't pay over time. But importantly, under the U.S. GAAP revenue recognition rules, we would still recognize the entire ROCTAVIAN revenue upfront instead of over time.  If the payments over time, we'd be carrying that receivable, so there could be a cash flow element for those pay over time ROCTAVIAN customers. But importantly, revenue would be recognized upfront.
Jeffrey Ajer: There was a question about the AAV antibody program.
Henry Fuchs: And you had an element of your question that pertains to ongoing monitoring maybe, Geoff, do you want to -- maybe you could help me reset on the question you were asking?
Geoffrey Meacham: Again, please?
J.J. Bienaime: Yes, yes. And if not...
Jeffrey Ajer: Perfect. Yes. Sorry, Hank, I recognize obviously AV testing is for the launch, but I'm just thinking about ongoing diagnostic obligations like Factor VIII, for example.
Henry Fuchs: This is all basically standardized clinical assay commercial lab kind of stuff. As regards to AAV diagnostic testing for the companion diagnostic, and we do have a CE marked product that has conformed to the trials that we conducted and it's going to be available in a commercial lab with a short turnaround time and a very simple report to study.  And in addition, we have ongoing work to study the population of patients who are AAV positive by this test to see if they are also amenable to ROCTAVIAN therapy, and that could be a potential label expansion. So time down the road if we can get it to work. But by and large, things like ALT monitoring and Factor VIII monitoring, et cetera, are really all just the lab kind of.
Operator: Our next question comes from Chris Raymond from Piper Sandler.
Christopher Raymond: A couple of questions. I guess, first on VOXZOGO and the decision to submit for marketing in this younger age group. Just I know you've described a dynamic in the past, Jeff, with the original labeling that favors faster uptake in Europe. Should we be expecting and modeling a similar dynamic with this age group, U.S. versus Europe? Or is there some other nuance?
Jeffrey Ajer: Thanks for the question, Chris. I think that the -- since we are talking about a label change, that will be taking effect 1.5 years to 2 years after launch. I would guide towards kind of incremental material but incremental increase in market opportunity in existing markets. So in European markets, that's largely going to look like gaining access to the 0 to 2-year-old patient population, which is probably like a 12% additional market opportunity.  And by the way, the initial experience in Japan, where we have an a diagnostic label has been pretty positive so far with very young patients -- so if you might be considering, hey, our prescribers and parents going to be moving really slow in that age segment we'll have to find out, but the early returns from Japan would suggest that expect some uptake there.  And then in the U.S. that 0- to 5-year-old age segment, if we can get, expands the available opportunity there by like 30%. So that could be a material increase to an existing by then in an existing patient base that's pretty large.
Christopher Raymond: Yes. Great. And then maybe a follow-up for Hank on the ROCTAVIAN AdCom, and this is maybe another question you can't answer, but we're being asked by folks. So excuse me, but do you have any indication if the agency from them if they're going to want to hold this Adcom with or without the 3-year data?
Henry Fuchs: Don't have any indications.
Operator: And our next question comes from Matthew Harrison from Morgan Stanley.
Matthew Harrison: Great. I guess two for me. So the first 1 is just a follow-on on how to think about dynamics in Europe for ROCTAVIAN? I guess the -- the first part of this 1 is just you've talked about patients in the fourth quarter, obviously. Can you just give us some sense, and I know other people have asked how much the system is actually set up in terms of being able to handle throughput in the fourth quarter versus how much of that capacity for demand could get taken up, say, in first half of '23, if there are patients that are waiting? And then -- the second question is just related to some of the pipeline candidates. And I just wanted to -- Hank, if you could just maybe broadly comment on some of the gene therapies that you have in the clinic now, just where you are in terms of dosing with those and how much safety data you have broadly?
Henry Fuchs: So safety data broadly on gene therapies in the clinic, not including ROCTAVIAN.
Matthew Harrison: Not including ROCTAVIAN. Hank, I guess, the basis of the question obviously is with PKU, we saw some questions. And I think just people are just wondering in some of your other sort of next programs, where you are in terms of building a safety?
Henry Fuchs: Yes. I think zooming out macro big picture, I'd say a couple of things have been learned across the platform because we do have a handful of patients who are treated with 307, we do have a short handful of patients treated with 331.  So we do have sort of 3 different indications, 3 different different products essentially and preclinically and learning a lot about 293 as we get there. But I'd say, across all of them, infusion-associated reactions or the most common adverse events. They tend to be generally mild and moderate or managed. There's a frequency of transaminitis post dosing for all of them, but nothing particularly severe that has been observed with some of the other captives, generally well tolerated.  Yet generally you can get expression, maybe not at the very first dose level you go into the clinic with but pretty efficient in the scheme of health authorities and patient advocacy groups don't really want a lot of dosing to occur at lower dose levels that are going to be effective.  So I would say, overall, pretty happy with the AAV5 platform as a general matter. Pretty happy through a range of doses that I think can deliver therapeutic effectiveness. The only other thing to say is 307 isn't stuck because of an outcome in humans.  It's stuck because of a preclinical outcome that we don't actually think or know is translatable to the human situation. But because we're careful, we want to debug what is going on in mice that received 307, and so we're doing research on that topic at some level. But in general, when we put it into the clinic in humans, it's proved itself to be safe in humans.
Jeffrey Ajer: Okay. And Matt, I'll try to address your question about the dynamic European situation and kind of cadence of patients in Q4 versus H1 2023. The first thing I'd say is really focused on Germany is the first place where we think we can get reimbursement through these outcomes-based agreements that we've docked at length about.  We're on the cusp of having those. That's one of the 2 big last pieces of many that have already fallen in place -- need to fall in place to treat patients commercially to the second 1 being site readiness, which we're also either there or on the cuff with our indebted treatment sites.  Once those 2 pieces are in, we start pushing patients through the system. And what I would say is with essentially 2 months left to go in this quarter and the holidays, I'm more interested in proof of concept and ensuring that the system is ready to go and primed in Q4. Once we have that established, I think pushing additional patients through that system is a relatively small lift compared to what we've gotten to already in Germany.
J.J. Bienaime: And I would have because it's a question we've had because I think investors and analysts are more familiar with the U.S. health care market than the European. Once we have an agreement in place, and they should happen pretty soon now, there is 0 impediment left regarding reimbursement of ROCTAVIAN like in the U.S., even when the product is approved and officially reimburse peers, sometimes that patients go through a lot of groups in terms of states going to make a necessity and they try to slow these out. When a single-payer system, once the product is approved and approved for reimbursement, there is no people who were not in anymore. It's already based on patient demand and health care provider demand and our ability to supply it, but we have that.
Operator: And our next question comes from Joseph Schwartz from SVB Securities.
Joseph Schwartz: I had a couple of questions about the steroids that may be used with ROCTAVIAN. It seems like the EMA recommended that physicians use them for a couple of months, which is much shorter than what was done in Phase III, where I think it averaged over 8 months and half of patients were still receiving immunosuppression at 1 year. So how should we interpret this difference? Is there any risk that this leads to subpar responses in the real world?  And then could you talk about the steroid regimen or regimens that are being studied in Study 303? And what do you hope to learn here, given its relatively small size, short duration and single-arm design? Are there any different scenarios coming out of Study 303 that you foresee playing out?
Henry Fuchs: So the euro label reflects a sort of reasoned conclusion to comparison of the 20-something patients who are directly enrolled into the pivotal clinical trial. And they weren't prospectively filed. That's what separates them from the other 112 patients that were subsequently enrolled after enrollment in trial. And when we conducted the interim analysis of the first 17, 20, whatever patients and saw Factor VIII activities levels that were lower than in the prior trial, investigators intensified their use of steroids with the belief that perhaps that transgene loss at losing activity could be recovered with additional services. And what we learned was that more steroids isn't necessarily better by just comparing the outcome of those to populations, both from annualized bleeding rate, but also Factor VIII levels that run in 2 years.  And so when the Europeans look at the inaugural that data, they saw some as good, more is not necessarily better. And so they trim back to a regimen that's more like what you -- what was -- what's described in the label and what's calling for a shorter overall exposure to corticosteroids, principally by virtue of less sort of aggressive maintenance as opposed to tapering.  And therefore, we expect the real-world version of this to be actually similar to the trial world because heavy steroid steroids don't make a difference in outcome enlightening on the steroids. It's going to be better for patients than more facile.  Now shifting gears, we said, okay, well, there still is this difference between the Phase I outcome and the Phase III outcome as regards to maximum Factor VIII activity and we'd like to understand that a little bit better. It wasn't the -- the answer isn't in the intensity of the steroid maintenance with an individual has transaminitis because that's essentially what we read showed in 301.  The question has if we started corticosteroids as early as we started them in the prior trial before the concept would be before the transaminitis has begun. With those patients have higher Factor VIII activity levels and would they have a lower overall steroid use because you'd be ahead of it. That trial can fully enrolled data is going to read out in the first quarter of next year.  And I'd say the valuations that health authorities undertaken is exemplified by Europe is that on this application with the information that's in our hand, we have to come to a conclusion on the balance of benefits and risks on the available uncertainties and the European Commission came to a positive benefit in the absence of the 303 data.  And the FDA has now accepted our application in the absence of the 303 data, the net number for the corticosteroid study. So I think what we hope to learn out of that, but we have to learn -- what we've got is good and maybe even a little bit better than where we would have ended if we'd only done a heavy steroid version because I think we do -- we are able to substantially lighten up on steroids closure. So we have is pretty good questions, can we do better? And the main readout of that in 20 patients is going to be like, is there a factor VIII activity level more like it was in the 301 study, the pivotal trial? Or is it more like live in the Phase III study?
Operator: And our next question comes from Gena Wang from Barclays.
Gena Wang: I have two on ROCTAVIAN. For the U.S., just wondering, do you plan to submit to the FDA additional genomic analysis data from the leukemia case? And also for AdCom, since PDUFA date at March 31, 2023, do you expect that will be some time for AdCom in January, February time frame? . And for EU monitoring tests, just wondering, do you have any feedback from the doctors regarding those monitoring tests? It seems like pretty lengthy like initially will be weekly for first 26 weeks and then it will be every 4 weeks for the next 26 weeks. Any feedback from the doctor regarding this testing?
Henry Fuchs: First in whole genome sequence, if we haven't submitted it already, it's going to be evenly submitted. And I don't think that that's going to really create much of a surprise 1 way or the other, the health authority. As regards AdCom timing, I mean it would be entirely speculative to offer when I thought the AdCom was going to be and what they might be looking for. So that would be useless to do. And then maybe I'll say something about the monitoring and Jeff can say something about the he wants. . Obviously, everybody would love to follow pill and go away. This is point that's simple. But at the same token because most of the labs are fairly routine types of labs. So we should be able to put some systems in place to help patients access laboratory testing.  And then it gets tapered as the patients get it further out. And so the docs perception of all that, and especially in Germany, it is we got it. This is a lower stuff to do. And then they're like part of the deal for that. Because you step back from that, net of all of that screening people and counseling people and whatnot, they have an amazing life after they got their transit. Big picture-wise, I think people are very much willing to put up with the short-term castle. And .
J.J. Bienaime: Just to elaborate, we're going to make it as easy as possible for the patients to have this monitoring done. We already have some contracts with home care supplier. So Jeff, you could explain?
Jeffrey Ajer: Yes. Thank you, Gena. Good observation on monitoring. Hank said, everybody's everybody is interested in a monitoring schedule that as modest as possible. But while maintaining appropriate safety and monitoring of those patients. So we've extensively researched this as an issue. As Hank said, these tests are routinely available. That's not much of an issue. We have programs in place to help make testing convenience to patients.  Examples would be patients can't get routinely to a lab for blood draws. We have programs in place in Germany. We will in the United States also to help facilitate testing that essentially comes to the home or even to the workplace to facilitate convenience.  And we think that there's not much more to it than that beyond influencing the buying decision. And we think that the benefits on that buying decision are very powerful with respect to costs associated with monitoring. So I think we're in good shape. .
J.J. Bienaime: Definitely lighter than 1 for us week 1 hour to cut Factor VIII.
Operator: Our next question comes from Paul Matteis from Stifel.
Paul Matteis: I wanted to just clarify two quick things. On the ROCTAVIAN price in Europe, can you just give a little bit more color about what exactly changed over the past, say, 6 weeks between when you talked about EUR 1.5 million per treatment and now EUR 1.25 million? And how confident are you that as you go past Germany you're going to be able to hold price in other countries like you have with other products in your portfolio?  And then just on the ROCTAVIAN review, just a quick question for Hank. I was wondering how you and the BioMarin management team are not looking to the FDA decision on the CSL UniQure heme B gene therapy at the end of November? And what readers you see on ROCTAVIAN and where there are limitations there?
Jeffrey Ajer: Paul, I'm going to take a shot at the question on pricing, which is confidential, and we have not yet finally concluded these agreements, as you can tell. But in general, what happened is we determine that the payers that we are negotiating with were requesting additional discounts in addition to the 7% mandatory that all of our sales in Germany need to be rebated back to the German health care system and in addition to our obligations under the outcomes-based agreement, we had previously modeled and expected the GBA to be demanding those discounts.  And so as noted in the prepared remarks, where we think we're winding up is net-net, a little less than EUR 1.5 million and probably very close to where we'll wind up with the GBA with final federal pricing.  Now the pricing in Germany is usually a benchmark for the rest of Europe. And aside from certain named patient sales arrangements. Usually, Germany is the high watermark for pricing in European markets. So 1 of the reasons it's important to get that German price established and out in the public domain when we get that far.
J.J. Bienaime: So that's a very important point is the fact that basically, what we're negotiating now is the final price or close to the final price we anticipate you have in Germany after the initial pricing. That's the difference.
Henry Fuchs: On the hemophilia B application that's pending before the agency with the PDUFA date coming up shortly, I would say, let's talk about 2 scenarios. If they're approved, speaks favorably. If they're not, we have to see what the basis of there not being approved was in terms of what it could read in terms of ROCTAVIAN. Oftentimes, these are very product-specific kinds of considerations. So there may not be any read-through or the read-through may be covered by things that we've already done. So...
Operator: Our next question comes from Debjit Chattopadhyay from Guggenheim Partners.
Robert Finke: This is Robert on for Debjit. On ROCTAVIAN, how confident is the company expanding I'm sorry, on ROCTAVIAN, how confident is the company in expanding VOXZOGO to younger patients? And incrementally, how many patients were this ad to the tribal population?
J.J. Bienaime: Sorry, your question VOXZOGO question or a ROCTAVIAN question.
Traci McCarty: Operator, maybe we'll go to the next question, and we'll try to get the caller back.
Operator: Our next question comes from Olivia Brayer from Cantor Fitzgerald.
Olivia Brayer: I want to follow up on ROCTAVIAN. You guys have been pretty transparent around the likelihood for a 3-month PDUFA extension. So can you give us a sense for what else you plan to submit between now and March? I assume it will include the year data, but anything else you guys can give us color on? And as for the European launch, any sense for the number of patients in some of those initial countries like Germany, the waiting and ready to get to once those payer agreements are in place?
Henry Fuchs: In terms of ongoing back and forth with the FDA, they can't file an application and lucky it to be complete and sufficient to address the review. So we don't anticipate anything specifically because they haven't asked for anything specifically because they wouldn't have filed the allocation if they still have pending requests of that means. And then during the course of the review, they can ask them for what are called information requests all the time, and we don't get comment on the information requests that are going back and forth. There's oftentimes a variety of different types of questions that come up during the review, it would be possible to share all of that. . So we had -- I think the main encouraging thing is that, as I said, we dropped 7 vessels worth of data on them and they made their filing decision pretty quickly. So we're encouraged by that.
Jeffrey Ajer: And on the other question, Olivia, regarding numbers of patients that might see in queue, between our market research and some of the other surveys that you may have seen from other analysts, there's certainly a signal that there are early adopters that are interested in treatment with ROCTAVIAN.  We don't have the same ability in Europe due to GR to get patient-specific data like we do in the United States. So our numbers are a little rounded. And relative to our initial treatment centers, we think that there's certainly double digits patients that could be early adapters, let's say, in the first few months following reimbursement approval that we could be pushing through the system.  And that doesn't count the second wave of intended treatment centers. And as we've spoken about previously, in the hub-and-spoke model that we anticipate for Germany and other European markets. Those centers, which would be characterized as bespoke centers that have patients that would be pushing into treatment centers. So the very tip of the spear, let's call it, low-ish double digits, probably more when we get beyond to the next layer of treatment centers.
J.J. Bienaime: And we activate 1 point of clarification, I think there was someone who has a question, I don't remember who say that we see the German price -- net price would be $1.25 million. That's not what we said. This is something that the person asking came up with.  So I would say it's likely to be the final price to be under 1.5 but we didn't say it was $1.25 million. We don't know yet exactly where that's going to land as we said, because we basically are trying to move towards the final price for ROCTAVIAN, which we anticipate to be a significant number.
Operator: Our next question comes from Tim Lugo from William Blair.
Lachlan Brown: This is Lachlan on for Tim. Brian, I was just wondering on the FX. You quantified the impact on revenue year-to-date, but I may have missed this, but was there any commentary on the impact of expenses year-to-date for FX as how the sort of the divergence may track going forward?
Brian Mueller: Yes. Thanks for the question. It's a good one. Obviously quantified revenue given the prominence and actually more of our revenue base is denominated in foreign currencies, mostly the euro, then is our expense base. We do have a decent operating expense level denominated in euro. We've got our primary commercial operations in Dublin. Technical operations in Southern Ireland, London Research Center, but -- so a decent level, but not the same as revenue. So I quantify the 3% number for revenue, it would be something probably about half of that as a benefit.
Operator: Our next question comes from Robyn Karnauskas from Truist Securities.
Srikripa Devarakonda: This is Kripa on for Robyn. I have a question on label expansion for VOXZOGO, especially in the U.S., given that the data you have in under 5 years of age patients, you saw positive trends. What's your level of confidence that these data will support label expansion into younger patients in the U.S., especially in the context of upcoming competitor data where the trials are being run in 2 years and above, what's your strategy to ensure that VOXZOGO gets to the younger patients as well. And then on the other end of the range, I was wondering what's the age of the oldest kids that are getting VOXZOGO, whether it's in U.S. or EU?
Henry Fuchs: Yes. So I mean, I think our confidence about engaging in a successful application review with the agency is driven by a bunch of things like the fact that we actually have data, we're not talking about when we're going to get data. The fact that it has a pretty safe profile in children. The fact that we have a huge an accumulating safety database, both in clinical problem and now accumulating in the real world experience treating children with VOXZOGO.  And as I said before, the consideration here is also rooted in a genetic consideration, which is so born with this mutation. So starting treatment from as early as you can identify the patient is something that's very much on genetic it's mind all the time. Whether you're a geneticist at the -- at the University of our genetics with the FDA, you can recognize the sort of contribution of genetics to the condition.  That's a pretty significant motivator. And maybe the last thing to say is that with the approval, the first approval with the initial than older children, I think it gives agency a little bit more latitude around things like trends because the biology is so consistent across the age range.
J.J. Bienaime: If I may add before I let maybe Jeff answer the question on the older patient Actually, we just communicated that our youngest patient ever treated was 3 weeks old, and we don't believe that any of our competitors are collected on patients under 2 users. So we have significant data in patients under 2 years of age and now we're going to gather commercial data in still kids get in 2, 3 months we so 2 to 3 months of age. So with that, Jeff, do you want to answer?
Jeffrey Ajer: Yes, happy to. So we know that -- or we think we know that in some ways, the value proposition for treating as early as possible, treating for a long time is very powerful. . Also noted that where we have the data, I've been surprised that the diversity of ages of kids that have started therapy, including kids that are in the 8 to 10 year old range, adolescents and even kind of late adolescents. So there's a lot of diversity. We've got diversity of kids that are starting being treatment treated. That said, where we've been able to measure age and now that we've got an accumulation of material numbers of patients, it is true that there is a gradient.  We've got more kids treated in the younger age segments than we've got treated in the older age segments. And so I wouldn't say there's a hard cutoff anywhere, but -- as they get into those older groups, the numbers are less robust than the younger groups, which is probably not a surprise to anybody. .
J.J. Bienaime: But it will allows us to treat until closure on growth plate, which generally occurs between age of 13.
Henry Fuchs: 16, 18.
J.J. Bienaime: Earlier on voice. So the product is approved for reimbursement until 16, 20 years age.
Jeffrey Ajer: Yes, one of our clinical trial patients that is featured in our promotional materials was 14 at the time that she was photograph for those promotional materials. She's probably 15 now and illustrating that kind of adolescent age group that can benefit from treatment.
Operator: Our next question comes from Joel Beatty from Baird.
Joel Beatty: For ROCTAVIAN with the person and also for ROCTAVIAN. How is preparation going for the launch with regards to establishing centers to administer drug commercially?
J.J. Bienaime: Your question -- the first part of your question was whether the will be in person? It's like a...
Henry Fuchs: Yes, sorry. The FDA has been convening AdComs by video teleconference and our expect not because they only sold as you're going to have an AdCom. But based on recent practice, the expectation is that it will be by video.
J.J. Bienaime: So sorry, what's -- I'm not sure I got the second part of the question.
Jeffrey Ajer: The question was what about launch Breton site readiness in the U.S. And the answer there is we have a sales team. Obviously, they can't promote ROCTAVIAN, but they can be doing things like site readiness supported by MSLs in the United States.  So we've been targeting the largest treatment centers in the United States to educate about gene therapy do site readiness, types of activities. And we think that we're going to be ready to go on that front, like we are today in Germany, should we be getting an approval on March 31 of next year.
Operator: And our last question comes from Luca Issi from RBC Capital.
Luca Issi: Great. Maybe apologies circling back on the question. But what would be your best guess at this point, your best guess for the timing of the AdCom? I think the 3 years data is coming in November, the steroid data is coming in February. Is it fair to assume that the FDA will want to wait for both data sets before the AdCom? Or do you think that you will have an AdCom ahead of either of those data sets -- any color there would be helpful? And then maybe on Bamboo, can you just remind us the timing of conversion to full approval based on full adult height and maybe bigger implications for your competitors?
Henry Fuchs: I'm going to leave you a little bit unhappy because on the -- what my best guess is, is like, who cares. My family doesn't want her on my best guess is just too speculative at this point to talk about the types of questions that they're going to. There are a variety of recent to hold an advisory committee and exactly what reasonable the agency has decided or even what they're going to bring to the committee is you don't know it until you know it, and so not useful to speculate about that. And a little bit of the same answer on VOXZOGO, a little bit of uncertainty here that we can't really comment too much on.
Luca Issi: Could you just maybe on VOXZOGO talk about implication, should you get full approval for your competitors?
Henry Fuchs: Well, I mean that's -- I think there's sort of 2 conversations. One is there is a time and events that have to happen to convert to full approval. And we're playing that a little bit close to our test potentially competitive reasons in terms of what's required. But what is required is fairly well stalled out in our agreement with the agency that's summarized in the publicly communicated marketing requirement for the application. So that's 1 subject. The other subject is as a general matter, if there is an indication for a product that is fully approved then there isn't an accelerated approval option available. So for example, VOXZOGO the product ex was indicated to improve final at all high fully approved, it wouldn't be possible to get an approval from -- on the basis of annualized growth velocity, for example.
Operator: At this time, there are no further questions. I would like to turn the call back over to Chairman and CEO, JJ Bienaime, for closing remarks.
J.J. Bienaime: Well, thank you, operator, and thank you all for joining us today. So our record year-to-date results underscore the strength of our brands and execution across the organization. As anticipated, the addition of VOXZOGO to our commercial portfolio is an important component of our growth story and paves the way for our transition to sustainable GAAP profitability for this year and beyond. So we look forward to the European launch of ROCTAVIAN this quarter and so potential approval in 2023. So combined, we believe VOXZOGO and ROCTAVIAN will drive substantial value for our patients, our employees and our shareholders.  So thank you all for your continued support. We look forward to seeing you soon.
Operator: This concludes today's conference call. Thank you for attending.